Operator: Hello, ladies and gentlemen, thank you for standing by for 51Talk Online Education Group's Fourth Quarter 2024 Earnings Conference Call. At this time, all participants are in a listen-only mode. Today's conference call is being recorded. I would now like to turn the call over to your host, Mr. David Chung, Investor Relations for the company. Please go ahead, David.
David Chung : Hello everyone, and welcome to the fourth quarter 2024 earnings conference call of 51Talk. The company's results were issued by Newswire services earlier today and are posted online. You can download the earnings press release and sign-up for the company's distribution list by visiting ir.51talk.com. Mr. Jack Huang, our CEO; and Ms. Cindy Tang, our CFO will begin with some prepared remarks. Following the prepared remarks, there will be a Q&A session. Before we continue, please note that the discussion will contain forward-looking statements made under the safe harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995. Forward-looking statements involve inherent risks and uncertainties. As such, the company's results may be materially different from the views expressed today. Further information regarding this and other risks and uncertainties is included in the company's Form 20-F and other public filings as filed with the U.S. Securities and Exchange Commission. The company does not assume any obligation to update any forward-looking statements except as required under the applicable law. Please also note that earnings press release and this conference call include discussion of unaudited GAAP financial information as well as unaudited non-GAAP financial measures. 51Talk's press release contains a reconciliation of the unaudited non-GAAP measures to the unaudited most directly comparable GAAP measures. I will now turn the call over to our CEO, Jack Huang. Jack, please go ahead.
Jack Huang: Thank you, David. Hello everyone. Thank you for joining our conference call today. We concluded financial year 2024 with gross billings growing by 74.4% year-over-year, and net revenues increasing by 87% year-over-year. Even more encouraging is that we achieved this while strengthening our cash position, delivering a full year positive operating cash flow of US$5.8 million. Throughout financial year 2024, we made significant progress in building out our local teams and developing more localized marketing and product contents. We are also expanding into new geographic markets to drive further growth. In 2024, we've already seen the benefits of integrating AI into our operations, reflected in the improvement of operational efficiency and narrowing of operating losses. We believe 2025 will continue to be a pivotal year for AI adoption and further efficiency improvements. Especially, AI will enable more personalized course plans and exercises tailored to students' proficiency levels, as well as enhanced progress tracking. With that, I will now turn the call over to Cindy, our CFO.
Cindy Tang: Thank you, Jack. Now let me walk you through our fourth quarter financial details. Fourth quarter net revenues were $15.2 million, a 117.3% increase from the same quarter last year, largely driven by the increase of active students with attended lesson consumption. Gross margin for the fourth quarter was 77.5%. Gross billings grew by 93.4% from the same quarter last year to $21.4 million. Q4 operating expenses were $13.4 million, an increase of 35.6% compared to the same quarter last year. Specifically, this has been driven by Q4 sales and marketing expenses of $10.1 million a 40.9% increase from the same quarter last year due to higher sales personnel costs related to increases in the number of sales and marketing personnel and higher marketing expenses. Q4 product development expenses were $0.9 million, an 8.0% increase from the same quarter last year. Finally, Q4 general and administrative expenses were $2.4 million, a 28% increase from the same quarter last year. Overall, Q4 operating loss was $0.9 million, while net loss attributable to the company's ordinary shareholders was $1.4 million, an 80.1% and 75.7% decrease from the same quarter last year, respectively. Q4 GAAP and non-GAAP earnings per ADS were negative $0.24 and $0.2 respectively. The company's total cash, cash equivalents and time deposits were $29.2 million at the end of the fourth quarter. Advances from students were $45.1 million at the end of the fourth quarter. Looking forward to the first quarter of 2025, we currently expect the net gross billings to be between $21.5 million and $22 million. The above outlook is based on our current market conditions and reflects the company's current and preliminary estimates of the market and operating conditions and customer demand, which are all subject to change. This concludes our prepared remarks. We'll now open the line for questions. Operator, please go ahead.
Operator: [Operator Instructions] Our first question will come from Damon Zing with [Indiscernible] Investments.
Unidentified Analyst: [Foreign Language]
Jack Huang: [Foreign Language]
Unidentified Analyst: [Foreign Language]
Jack Huang: [Foreign Language]
Operator: [Operator Instructions] As we are reaching the end of our conference call, I'd like to turn the call back over to the company for closing remarks. Mr. David, please go ahead.
David Chung: Thank you once again for joining us today. If you have further questions, please contact 51Talks Investor Relations through the contact information provided on our website.
Operator: This concludes today's conference call. You may now disconnect your lines. Thank you.